Emma Culver: Good afternoon, everyone, and welcome to the Bannerman Energy quarterly update webinar for the December 2025 quarter. I'm Emma Culver, Investor Relations Manager at Bannerman Energy, and I'd like to thank you all for joining us this afternoon. I'm joined today by our Chief Executive Officer, Gavin Chamberlain, who will provide a short update on Bannerman, the highlights for the quarter and all the progress that is happening at our Etango Project in Namibia. Following this, we will answer Q&A or Gavin will answer Q&A. For those of you, you're mostly familiar with Zoom, but if you're not, at the bottom of your screen, you'll see the toolbar and the option for Q&A. Please write your questions in it, and then I can move through them once Gavin finishes his overview of the quarter. For now, I'd like to hand over to Gavin. We say good morning to him in Cape Town. And thank you for joining us as it is early, but I'm sure everyone is very much looking forward to hearing from you today, Gavin.
Gavin Chamberlain: Thanks, Emma. And yes, good morning to everyone from a very early Cape Town. What an exciting time to be in uranium. I think with the current movement in the spot price, it's really a really, really good industry to be in. But what I'd like to talk about today is the progress that we made in the last quarter. We're very pleased with the progress we've made and in particular our safety record of 16 years without a lost time injury really stands out as a highlight. The fact that the team on site has come to grips with moving from effectively exploration into construction and has continued to maintain an LTI-free record is really pleasing for myself and the rest of the team. On the early works construction activities, we've continued with all of them in this last quarter in line with budget and schedule with significant new contractors now on site and also progressing extremely well. Our detailed design and procurement activities have continued to advance. We are moving well into the structural steel component of the dry plant area and the wet plant is slowly but surely starting to get traction as well. In terms of long-term infrastructure, the construction of the permanent water supply line has taken off and is moving on in line with our expectations, and we're very pleased with the contractor that we appointed in that area. And obviously, I think in the last quarter, we spoke about the fact that we had done the factory acceptance test of the HPGR, that's the high-pressure grind roller, which has now successfully been delivered to site. And I think, once again, a really good proof of the fact that the plans that we've put in place in terms of importing equipment for the project have now been tested and have come through and the team on site has once again passed with flying colors. So we're very comfortable with the fact that we managed to get all of the delivery boxes on to site with no real issues in country with clearance. We finished the quarter on a strong cash balance of AUD 89 million, and we still have additional liquid assets valued at AUD 12.7 million and obviously with no debt at all at the moment. And as I said, as I started in my introduction as well, the uranium price had increased nicely to $87, but has continued this trend, and we're very pleased to see that this is now becoming a reality in our lives. Emma? I thought we'd share a couple of photographs because a number of you may have been to site already, a number of you may be joining us, which we're really looking forward to in February. But for those who haven't been or who won't have the privilege of joining us in February, these are a couple of the photographs of the progress we've made on site. What you're looking at here is the heap leach pad, which is 1 kilometer long by 300 meters wide, and we've currently completed the first 3 cells and are on schedule to complete this in line with the construction schedule. The other contract that got up and running in the quarter was the blasting, crushing and screening of the drainage material that we required for the heap leach pad. This is one of the original capital saving ideas that was put forward during the FEED phase, where we have material on site which we're actually blasting. Then we crush it and we actually then do all the sieving required to actually get it to spec, and this material will then be used in the drainage on the heap leach pad. And the other big contract that really found traction in the last quarter was the concrete contract. So they started work in the primary crusher, and it's pleasing to see that the reinforcement is already almost up to ground level, which is 50% of the tower reinforcements, it means it has already been put in place. And once again, we're very happy with the way the concrete contractor has continued. The primary crusher will continue 10 meters above ground level. So what you're looking at there is plus/minus a 30% completion in terms of concrete work. Emma? No. And over and above that, the concrete contractor has continued both with the tertiary crusher, which is shown in this photograph, and also with the stockpile tunnel foundations as well, which was quite a highlight for us. It was one of the biggest pours done in Namibia in a long time, over 1,200 cubic meters of concrete poured in one continuous pour. And we're very proud of the fact that in all of these activities, the contractor, the site management team and my own team on site have managed to continue to meet their schedule and stay within budget. And I think really at this point is I'm quite comfortable to take any questions from anyone on the call, but really our message is: we are continuing with our work. We are prepared and we are currently in line with our financing moving ahead to keep the progress going on site.
Emma Culver: Great. Thanks, Gavin, and thank you, everyone. Please pop in your questions in that Q&A box, send them through so we can get chatting. James, I see that you've got your hand up, but I just need you to just type the question in for me so we can see that one coming through. Gavin, I think to start off, in terms of the number of personnel at site now, how many do we have at site? I mean, I think we're up to close to like 400. How has that process gone? And how -- has there been any significant issues on site with the increase of personnel?
Gavin Chamberlain: Yes, Emma, good question. The number has climbed to just under 400. I think last I checked it was 373. So for our people to get on to site and work, they have to go through 2 processes. The one process is to get themselves medically checked and the other process is to go through our induction. And I've been really, really pleased with Wood as our safety consultant on site. They put in a really good process and managed to make sure that no one has been kept waiting to do inductions. So it's actually been a very smooth process, and I think the longest anyone took to get on to site was just under a week, which in international standards is actually significantly low and a really big positive for the team on site. And the fact that we've managed to grow effectively in the quarter from 100 all the way up to 400 is a real significant step forward and really gives me a lot of confidence around the ability of our site team to actually step this up into the next level, which is when we would get structural steel onto site.
Emma Culver: Okay. And given the momentum in the spot price and ongoing progress at site, can you offer any further clarity around FID on the project and how that's progressing?
Gavin Chamberlain: Emma, it's very difficult to give too much clarity. But effectively, we are still on track in terms of achieving FID in line with our current bank balance and progress, and we believe that somewhere between 6 and 12 months we will have FID finalized. What I would say is that when we do finalize FID is we're not going to have to put the project -- slow the project down. We can continue on our current time lines and achieve the target that we wanted to do, which is to get uranium into the market by 2029.
Emma Culver: Okay. Thanks, Gavin. And how are we thinking or you or the team thinking about contracting strategy? Are you looking to layer in additional contracts to those that have already been? This is utility contracts. And if they're going to be more base escalating or they're going to be hybrid or market-linked given the activities?
Gavin Chamberlain: Yes. So obviously, we're in a very buoyant uranium market right now. Olga herself is actually currently in the U.S. at a conference, and we're continuing to talk to all utilities, and we will continue to respond to RHPs. And what we are doing though is, as we said post placing the first 2 contracts, is new contracts will need to be signed at a price that we are comfortable with. So we will continue to price RHPs to give the message in terms of what we were looking for in terms of pricing. We're not going to be rushing in to sign contracts. We are comfortable with the coverage that we've got at the moment in terms of the pricing. But what we want to do is obviously benefit from a rising uranium market.
Emma Culver: And in terms of the budget, we're saying we're tracking on budget. How far through the budget are we to-date? And how much spend remains? Now we actually have a really good slide on this, which I wish I could bring up. I may be able to. But Gavin, you may be able to speak to that even without the slide in terms of the project spend and where we're at with that?
Gavin Chamberlain: Yes. So our project spend at the moment in terms of spent and committed sits at around about just under 1/3 of the overall budget. We still have 2 major contracts to place, which would be the construction contract for the structural steel and the construction contract for electrical and instrumentation. In terms of mechanical orders, we've moved ahead significantly there. And even though we haven't got a payment commitment, what we have got is got orders placed where we secured the price of mechanical equipment for a large percentage of the project at the moment. So I think we're fairly well placed in terms of understanding where the capital expenditure is going. And at the moment, we have a degree of comfort that we'll be in line with the overall budget.
Emma Culver: All right. And in terms of the contractors on site, are we seeing any issues with their performance? Is there anything that is keeping you up at night, I guess, Gavin, in terms of how things are going on site with the contractors?
Gavin Chamberlain: Yes. I mean, so as you know, or you may not know, is all of our contractors on site at the moment are Namibian contractors. And that's part of our strategy, where we've actually reduced the size of contracts so that the Namibian contractors are capable of actually executing the work. We've been blown away by the progress and the commitment to safety and the commitment to schedule that we've seen from these contractors. They really -- it's almost like they're going the extra mile because they want to prove that as Namibians they can actually deliver. And we are super happy with the way they're performing on site at the moment.
Emma Culver: And in terms of the long-term -- the utility supply contracts in country, how are they progressing? I know that the work at the permanent water station has started. But in terms of those agreements with NamWater and NamPower, how are they progressing?
Gavin Chamberlain: Yes. So NamPower is signed and sealed, and we've also paid them their first deposit. So they've actually started with the design of the substation. So from the power side, we're 100% comfortable that it's moved ahead. On NamWater side, we're still waiting for the final signed contract, but we do have a binding MoU, which allowed us to actually start with -- commence with the construction of the permanent water line. So we wouldn't have commenced with that unless we were comfortable with the MoU. So that has been signed by all parties. Unfortunately, NamWater has been slightly diverted at the moment by looking at the finalization of the second desalination plant. And at the moment, it appears that the second desalination plant would be -- will be approved by government around about midyear this year. That's the latest news that we've received. But once again, I need to stress is we do not require the second desalination plant, but it has been a distraction to NamWater. Our contract is they will supply us with water. Whether it comes from the existing desalination plant or the new one actually doesn't affect us. There's sufficient water in the existing desalination plant.
Emma Culver: All right. And we have a question here, which I'm going to rephrase a little bit. But the current progress that's been made on site in terms of the construction phase, is that still preserving the upward production optionality of the extension of the expansion case? If we do see demand come in from AI, are we still well positioned to and prepared to take advantage of that? And maybe it's just speaking through, I guess, at what stage we have those key decision points to make on that extension, on that expansion and which one we would go with?
Gavin Chamberlain: Yes. So from that perspective, it's a really good question, because the 2 key design implications really for the extension would be the power and water. So on both power and water at the moment, we are installing a system that is capable to actually do the extension. So with the water line, we will increase the pressure and thereby increase the flow. And in our MoU with the Department of Water, we've actually already covered the fact that we will potentially increase the supply at a point in time. So from a water perspective, we're comfortable. And from a power perspective, the overhead power lines are sized according to both projects. So we have no issues when it comes to the infrastructure. And then obviously, the existing infrastructure on site has been set out such that we can actually build the extension while we're operating the main plant. So from that perspective is, if there was a push to accelerate the building of the extension, we would be able to do that with no real issues in relation to operating the Etango-8, as we call it, versus Etango-16.
Emma Culver: Okay. Thanks, Gavin. And we have a question here around, I guess, labor and workforce in Namibia. So the current capability amongst the team is very well suited for the construction of this project. And I think you had -- I mean, you've worked with many of the project team previously. You know them well. We're quite comfortable with that. But what is the strategy of sourcing and securing skills as we move into the operation phase? And how is the dynamic on the supply of labor, especially in Namibia? There could be a few of...
Gavin Chamberlain: Yes. Look, I mean, there's big pressure from the Namibian government to educate and develop Namibians as well. There is already a mining training center, which was set up many years ago by Rossing, which is still functional. And there's a lot of local labor that's already going through the training courses, which is available and currently is looking for work. So there's a shortage of employment in Namibia. So I don't believe we've got a shortage of people. Where we will have a strong focus in our operational readiness will be on upskilling and making sure we've got the right skills level available to us. Recently, we've employed a new COO for Bannerman Mining Resources Namibia, who comes out of a mining environment, and one of his main functions will be to drive the operational readiness process. And Danie will actually -- his first focus is on firming up the first step in operational readiness, which is effectively how you secure your people and when you employ them. So we have a timetable around that, which is linked back to the construction schedule, and that will become the responsibility of the in-country COO.
Emma Culver: And Gavin, does the surging SA rand change your thinking at all around the pace of awarding contracts for work on site? Is there any incentive to bring forward certain aspects of the construction?
Gavin Chamberlain: I suppose there's always some degree of incentive. However, we've -- the way we've actually tackled contracting on the project is we have placed a number of mechanical contracts to secure vendor data, but at the same time, we secured the cost of that supply. So to a large extent, we've already actually addressed the risk around the strengthening of the SA rand. There are no specific contracts that we would place earlier driven by the financial changes in terms of exchange rate. As I said, we've got 2 big contracts to place, but those contracts are actually -- it's more important for us to get the quantities right in those contracts than it is to worry about the exchange rate at this point in time. And as people know, is the rand exchange rate does tend to yo-yo a bit. So we keep an eye on it. And at the moment, we're not planning to change any of our strategies linked to contracting.
Emma Culver: Great. Thanks, Gavin. And we haven't had any other questions come in. So I think -- actually, we do have one just now. See, these last minute questions that pop in just when you think that you're going to close it off. Can we offer any insight into the proposed change in legislation around the 10% free-carry interest in new mines in Namibia? Is Etango classified as a new mine? No, it's not. I will let you speak to this, Gavin, but I think this is actually an important point. We did discuss it at the last quarter, but we have had a change in that Namibian Mining Ministry. So for those that aren't aware of the updates there, can you just touch base on that?
Gavin Chamberlain: Yes. So we've got a new Mining Minister. So the minister who made the statement around the 10% has been removed from his position and there's a new Mining Minister in. We actually -- our local Chairlady had a meeting with the Mining Minister yesterday, which was very positive. And when we are in Namibia with the investors' visit, myself and Murno will also be moving -- going and actually meeting him in person. But the rhetoric around 51% ownership, et cetera, has died down significantly. In fact, we're not hearing it at all. And we are pretty confident that we're definitely an old license, not a new license. But even on the new licenses, it's died significantly. There's a lot more focus at the moment on oil and gas. That doesn't mean that we've relaxed and we're 100% comfortable, but we do believe it's not going to be affecting us, but we also don't want it to affect other mines in the future because maybe those other mines could be ours.
Emma Culver: And a question here, what's the thought process around bringing a new partner into the project? How has the interest been regarding the project? As most would be aware and has been reported in the quarterly, we do have a strategic funding work stream underway. It has been underway for quite some time. Gavin, any comments on how that's progressing? I think that you're pretty happy with the team and the progress that has been made in that aspect.
Gavin Chamberlain: Yes, definitely. I mean we've seen -- for the last 6 months, we've seen a huge increase in interest and in people actually talking to us. And we -- as I said, is we believe within 6 to 12 months, we will be in a position to announce our FID. And our FID, as people are aware, is 100% related to the final funding for the project. So we're very comfortable with the progress that we've made in the last couple of months.
Emma Culver: All right. Thanks. So look, I'm going to close the Q&A off there. If anyone does have any additional questions, please drop me an e-mail. I think most of you have my e-mail. Please drop me a line if there are any additional questions. Gavin, thank you very much for joining us. We do have an updated video that goes for, I think, about 2.5 minutes showing progress from the December quarter on site. For those of you that want to hang around and watch that, please stay on the line, and I will share the screen and begin that video. Gavin, thanks again for joining us. Thank you to everyone for joining the call. And reach out at any point if you have any questions. Thanks very much.
Gavin Chamberlain: Thanks, Emma, and thanks to everyone who attended.